Operator: Good day, and thank you for standing by. Welcome to the first quarter 2025 UniFirst earnings conference call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question and answer session. You will then hear an automated message advising your hand is raised. To withdraw your question, please press star one one again. Please be advised that today's conference is being recorded. I would now like to hand the conference over to President and Chief Executive Officer, Steven Sintros. Please go ahead.
Steven Sintros: Thank you, and good morning. I'm Steven Sintros, President and Chief Executive Officer. Joining me today is Shane O'Connor, Executive Vice President and Chief Financial Officer. I'd like to welcome you to UniFirst Corporation's conference call to review our first quarter results for fiscal year 2025. The call will be on a listen-only mode until we complete our prepared remarks. But first, a brief disclaimer. This conference call may contain forward-looking statements that reflect the company's current views with respect to future events and financial performance. These forward-looking statements are subject to certain risks and uncertainties. The words anticipate, optimistic, believe, estimate, expect, intend, and similar expressions that indicate future events and trends, identify forward-looking statements. Actual future results may differ materially from those anticipated depending on a variety of risk factors. For more information, please refer to the discussion of these risk factors in our most recent Form 10-Ks and 10-Q filings with the Securities and Exchange Commission. To start the call today, I'd like to briefly address the news regarding Centene Corporation. As we stated in our press release yesterday, the UniFirst board, in consultation with its independent financial and legal advisers, carefully evaluated the unsolicited nonbinding proposal from Syntas and unanimously determined it was not in the best interest of UniFirst, our shareholders, and our other stakeholders. In making its determination, the board considered the offer price, risk, feedback from some of the company's largest shareholders by voting power, and the company's future growth and value creation opportunities. The UniFirst board and management team remain confident in the strategy the company is executing and will continue to take actions to create shareholder value. With that, I'll turn to our results for the quarter. We are pleased with the results from our first quarter, which represent a solid start to our fiscal year and were largely in line with our expectations. I want to sincerely thank our team partners who continue to always deliver for each other and our customers. As we strive toward our vision of being universally recognized as the best service provider in the industry, all while living our mission of serving the people who do the hard work. We serve the people who do the hard work as they are the workforce that keeps our communities up and running. They are our existing and prospective customers as well as our own UniFirst team partners. Our mission is to enable those employees and their organizations by providing the right products and services to do their job successfully and safely. Whether that means providing uniforms, workwear, facility services, first aid and safety, cleanroom, or other products and services, our goal is to partner with our customers to ensure we have the right program structure, products, and services for their businesses and their team, all while providing an enhanced customer experience. First quarter revenues were $604.9 million, an increase of 1.9% from fiscal 2024. Operating income and adjusted EBITDA increased by 4.5% and 5.9% respectively compared to the first quarter of fiscal 2024. As we discussed last quarter, the market has emerged from a period of significantly elevated inflation levels, a more challenging pricing environment which has had a corresponding impact on our retention rates. This has impacted our overall growth in our core laundry operations. Although these are certainly not the growth rates we ultimately aspire to deliver, as we discussed last quarter, we do feel like there are reasons to be positive about some of the trends we are experiencing in our leading indicators that should translate into improvements in revenue trends and retention as we move through this cycle. During the quarter, our sales organization continued to perform well, selling prospects on the value that UniFirst can bring to their business. We also continue to be encouraged by the pipeline of large account opportunities that we are currently working on. From an ads versus reductions perspective, net wearer levels for our existing customers declined during the quarter, showing some incremental weakness compared to a year ago at this time. We are pleased with the progress we continue to make in areas of operational excellence, which allowed us to show solid improvements in operating income and adjusted EBITDA during the quarter, despite the modest growth. These improvements, which were primarily in core expense areas such as merchandising and plant expenses, were partially offset in the quarter by higher healthcare costs and legal and environmental expenses compared to a year ago. We also continue to see strong improvements in operating cash flows, which were up 27.3% compared to the same quarter a year ago. As a company, we'll continue to focus on investments in the business to enhance our ability to attract new customers, sell additional products to existing customers, as well as enhance our customers' experience and drive improved retention. We believe that there is ample runway to improve our profitability with ongoing efforts focused on the consistency of our operational execution. In addition, areas such as strategic pricing and account profitability, as well as strategic manufacturing and sourcing, continue to represent significant opportunity. Although some of these benefits going forward will be more significantly enabled through the implementation of our ERP, we continue to focus on these areas and others we feel can move the needle in the near to mid-term. Speaking of our ERP project, we are generally on track with our project timelines and continue to be excited about the benefits that the system can bring to our business. That said, I'll turn the call over to Shane, who'll provide more details on our first quarter results, as well as our outlook for the remainder of fiscal 2025.
Shane O'Connor: Thanks, Steve, and good morning. In our first quarter of 2025, consolidated revenues were $604.9 million, up 1.9% from $593.5 million a year ago, and consolidated operating income increased by 4.5%. Net income for the quarter increased to $43.1 million or $2.31 per diluted share, from $42.3 million or $2.26 per diluted share. As discussed in the prior quarter, the company migrated to an adjusted EBITDA metric that we believe is more meaningful and is defined as net income before interest income, taxes, depreciation, and amortization, further adjusted for share-based compensation expense, acquisition costs, and other items impacting comparability. We believe that this more wholesome non-GAAP measure will provide a more refined view of the company's profitability and is a better indication of the company's capacity to generate future cash flows. The adjusted EBITDA metric does not adjust for the key initiative costs we incur, but the company will provide visibility to those items separately. Consolidated adjusted EBITDA increased to $94 million from $88.7 million in the prior year, or 5.9%. Our financial results in the first quarters of fiscal 2025 and 2024 included approximately $2.5 million and $2.9 million respectively of costs directly attributable to our key initiatives. The effect of these items on the first quarter of fiscal 2025 and 2024 decreased operating income and adjusted EBITDA by $2.5 million and $2.9 million respectively, net income by $1.8 million and $2.4 million respectively, and diluted EPS by $0.09 and $0.12 respectively. Our core laundry operations revenues for the quarter were $532.7 million, an increase of 1.7% from the first quarter of 2024. Core Laundry organic growth, which adjusts for the estimated effect of acquisitions as well as fluctuations in the Canadian dollar, was also 1.7%. The organic growth rate was primarily the result of solid new account sales and pricing efforts over the last year. Core Laundry operating margin increased to 8.1% for the quarter or $43 million from 8% in the prior year, or $42.1 million, and the segment's adjusted EBITDA margin was 14.8% from 14.4%. Costs we incurred related to our key initiatives were recorded to the core laundry operation segment and decreased core laundry operating and adjusted EBITDA margins for the first quarter of fiscal 2025 and 2024 by 0.5% and 0.6% respectively. Segment operating and adjusted EBITDA margin comparisons benefited from lower merchandise and other operating input costs, as a percentage of revenues, which were partially offset by higher healthcare, legal and environmental, and selling costs in the first quarter of 2025. As a percentage of revenues, energy costs in the first quarter of 2025 were 3.9%. Revenues from our specialty garments segment, which delivers specialized nuclear decontamination and cleanroom products and services, increased to $45.9 million from $44.7 million in the prior year, or 2.9%. The segment's operating margin was 26.5%. Strong operating results from our European nuclear operations were partially offset by a slight decline in our cleanroom business. As we mentioned in the past, this segment's results can vary significantly from period to period due to seasonality as well as timing and the profitability of nuclear reactor outages and projects. Our first aid segment's revenues increased to $26.2 million from $24.9 million in the prior year, or 5.4%, driven by double-digit growth in our van operations. The segment had a nominal income of $0.3 million during the quarter, as the segment's results continue to reflect the investments we are making in the first aid van business. At the end of our first fiscal quarter, we continue to reflect a solid balance sheet and financial position with no long-term debt and cash, cash equivalents, and short-term investments totaling $181 million. In the first three months of fiscal 2025, we continued to see solid improvement in our cash flows from operating activities, which increased 27.3% to $58.1 million, primarily due to improved profitability and lower working capital needs of the business. We continue to invest in our future with capital expenditures of $33.6 million, repurchased $6.4 million worth of common stock, and acquired three small first aid businesses for which we paid a total of $2.8 million. I'd like to take this opportunity to provide an update on our outlook. At this time, we expect our revenues for fiscal 2025 to be between $2.425 billion and $2.440 billion. We continue to expect diluted earnings per share to be between $6.79 and $7.19. This outlook continues to include an estimated $6 million directly attributable to our key initiatives that we anticipate will be expensed in fiscal 2025. Although there's been a recent decline in the value of the Canadian dollar, this outlook assumes a constant Canadian exchange rate of $0.74, consistent with our original guide. Due to the uncertainty in how the foreign currency will fluctuate over the remainder of the year, aside from the tightening of our revenue range, now one quarter into the year, all other assumptions that we detailed out last quarter remain largely unchanged. As a reminder, fiscal 2025 includes one less week of operations compared to fiscal 2024, and guidance does not include the impact of any future share buybacks or significant changes in the regulatory or broader economic environment. This concludes our prepared remarks. Before we open the call for questions, I'd like to remind you all that our focus today is our first quarter financial results and 2025 outlook. As a result, we won't be commenting further on Syntas. Liz, we can now open the call for questions.
Operator: Please standby while we compile the Q&A roster. Our first question will come from the line of Andrew Wittmann with Baird.
Andrew Wittmann: Yeah. Great. Good morning, guys. I have to ask the question. You're welcome to comment to the extent that you can, but it's important, and so I wanted to ask it. The Syntas's $275 offer clearly could have some upside as they outlined in their performance. You know, the cost synergy opportunity that they outlined at $375 million at least. Not to mention the revenue synergies. I mean, this is all obviously a substantial premium to what they're offering and to where your stock is today and probably would be for some time. You know, your controlling shareholders obviously have a lower basis in the company. There's other factors, I'm sure, at least from the outside. But when you look at the offer that's been on the table and the company's decision to pass on it, it seems like there's more than just the financials that are being considered by your board. So am I right in saying that, and would you be comfortable in discussing some of the other reasons that your board has decided to pass on this for the benefit of your non-controlling shareholders?
Steven Sintros: Yeah. Appreciate the question, Andrew. I think, you know, we're gonna go back to, you know, what we commented, which basically says that, you know, we considered several factors in making the determination, including the offer price, risk, feedback from some of our company's largest shareholders, and the company's future growth and value opportunities. And at the end of the day, we determined unanimously from the board that it was not in the best interest of UniFirst and our shareholders and our other stakeholders. So it's really all we have to say about, you know, about the opportunity.
Andrew Wittmann: Okay. Felt like it was important to try at least. I did want to just have you drill in a little bit on one of the comments in your script as well. And you mentioned you did say you mentioned this last quarter. I just thought we'd go for an update on some of the reasons to be positive. Obviously, you talk about the challenging pricing and how that's impacted, you know, the revenue line including some retention. But, you know, could you drill in a little bit to the reasons that you're seeing some of the positivity, reasons to be positive? You talked about some of the large accounts. Could you drill into that a little bit more or some of the other things that are leading indicators that are causing you to be a little bit more optimistic maybe?
Steven Sintros: Sure. I talked about some of them a little more specifically last quarter. And we continue to see some of our internal metrics that measure contract renewal rates. I talked about our NPS program, which continues to emerge, and we continue to get larger samples, continue to see positive trends in that area and other internal metrics that we think are leading indicators toward retention and contract renewals have been consistently improving. So we feel like we're coming out of the cycle a bit, and we should start seeing better results in that, you know, I'd call it customer and price retention area that we think can start to move the revenue trends in a better direction. On the sales side, I know you mentioned that as well. We continue to have a robust pipeline, feel like we're executing well in that area, and seeing a lot of opportunity. I'll leave it there.
Andrew Wittmann: Thanks, guys.
Operator: Our next question comes from Manav Patnik with Barclays.
Ronan Kennedy: Hi. Good morning. This is Ronan Kennedy on for Manav. Thank you for taking my questions. Just as a follow-up to Andy's question there, balancing the challenging pricing environment, corresponding impact on retention, and the impact on sequential revenue trends, should we think about those sequential revenue trends as what's contemplated in the guidance for the remainder of the year, and how should we think about exiting into 2026?
Steven Sintros: Yeah. What I would say is we really don't give quarterly guidance, but we think that's mostly gonna be consistent. I think the idea would be that by the end of the year, we've created some more momentum headed into 2026. And we'll continue to update the group as we go through upcoming quarters. But still being one quarter in, we're not kind of providing quarterly guidance for the remainder of the year.
Shane O'Connor: Ronan, one thing I can add to that is sort of going into the year, we had said that the expectation was that our organic growth in the core laundry was gonna be about 1.8%. When you take a look at the first quarter, the organic growth rate was 1.7%, right, relatively in line with the organic growth that we're forecasting for the year. So that probably will give you an indication of whether there's some more lumpiness in that experience throughout the year.
Ronan Kennedy: Thank you. And then as a follow-up, can you please help us to understand where you are, I guess, holistically in your transformation journey as a company in terms of innings? I know there's a lot of initiatives to enhance service, operational execution. You alluded to not currently being at the levels of growth that you aspire to. Also, in consideration of the Syntas transaction, potential transaction, you considered your opportunity for future growth and value creation. Where are you in this journey holistically, and when can we expect to see potential inflection points both in organic growth and margins?
Steven Sintros: Yeah. Great question, Ronan. I mean, I think we've been transparent with investors over the last couple of years that we are in a period of significant investment in people, technology, and a number of areas. That will take multiple years. I know we talked about the ERP as sort of one of the overarching things that has sort of a long tail to it because there are a number of things that will be enabled by the ERP, but that's not the only area of investment that we're making. And so, you know, I didn't kind of go over all those items in the call today, but if you kind of go back through the last couple of years and we talk about the journey we're on in first aid and safety, and we're talking about additional investments we're making to enable further capabilities in direct sales and in product development to better upsell to our existing customers. There's a lot going on right now that we feel very excited about, but will take a little time to sort of accumulate to the ultimate goal, which, you know, we've sort of roughly talked about getting back closer to mid-single-digit growth and EBITDA margins sort of in the high teens. Right? We believe that's achievable. But it is gonna take a bit of time, which is why we haven't been as upfront about this being a late fiscal 2025 or 2026 inflection point. And I understand the question, but, you know, we continue to have a lot of confidence in those things that we're investing in.
Ronan Kennedy: Thank you. Appreciate it.
Operator: Our next question comes from Kartik Mehta with Northcoast Research.
Kartik Mehta: Hey. Good morning, Steve. Sorry about that. I was hoping maybe just to drill down a little bit on new customer pricing. Has been pricing, and in the past, you've said, you know, maybe a little bit more aggressive. And I'm wondering, are the pricing trends the same for existing customers and new customers, or has that changed at all?
Steven Sintros: I would say for new accounts, Kartik, we've talked about this before. I mean, the industry's always been very competitive for new business, and that continues. I'm not sure I'd characterize it as more or less aggressive than a couple of years ago. I think for existing accounts, this is where, as we went through this heavy inflationary period, you know, we were all trying to recover some additional pricing with the cost increases we were seeing, and that leads to challenges upon renewal when customers are saying, hey, inflation's kind of moderated a bit. And it's really a complex dynamic, and it really goes back to a lot of the things I've talked about before. If you're partnering with your customers, if you're providing a superior customer experience, then they're gonna see the value in what you're providing, and that's gonna allow you to drive and keep good pricing with your customers. So I think that existing customer dynamic is always a little bit different than the new customer dynamic. And I think our ability to execute and provide value to our customers at a very high level will allow us to obtain that pricing. The other thing I'd say is that, you know, on the flip side of that, you know, as we experienced a lot of cost increases with our vendors, I think we're doing a good job right now working to recover and, you know, work through from a sourcing and procurement perspective as our supply chain capabilities continue to mature and recover some of those cost increases we're taking, and you're seeing that in some of our core expenses coming down, and we're excited and we think there's a lot more opportunity there for us.
Kartik Mehta: And then just a follow-up, just on the ads versus reductions metric, I know you've talked about retention. I'm wondering about just, you know, the number of ads or maybe the number of collisions in terms of employees at your customers, how that's trending.
Steven Sintros: We did make that comment in the script that that was a little weaker this quarter. So just to give you a little perspective, I think a year ago at this time, we would have said that, you know, that was very stable and sort of hovering right around even in terms of ads versus reductions. Right? Last quarter, we said it had gone incrementally negative but not, you know, still characterized as stable. I think it's got a little bit more negative this quarter, and I think you've seen in some of the surveying done on our industry, yeah, I think that's broadly there's been a little bit of a weakening of the existing. The one other dynamic we are seeing with our customers is there's less turnover in the employees that are at our customers, which probably creates a little less revenue opportunity from our perspective, but does create a little bit more cost advantages as we're investing less in garments to deal with that. So I think there is a bit of a slowdown in the employment environment, but not one that, you know, we're overly overreacting to, I would say.
Kartik Mehta: Perfect. Thank you so much. I appreciate it.
Steven Sintros: Thank you.
Operator: Our next question comes from the line of Josh Chan with UBS.
Josh Chan: Hi. Good morning, Steven and Shane. Could you talk a little bit about what drove the very slight guidance narrowing on the top line and, you know, what did you see in the quarter that caused that?
Steven Sintros: Yeah. It's kind of a good segue from our last question. I think, as Shane had mentioned, you know, one quarter into the year, it kind of makes sense to tighten the range a little bit. And with some of the weakness in the wearers that we experienced, we felt it was prudent to kind of tweak down the top end of it.
Josh Chan: Perfect. Thank you. And then I know you said you're not commenting on Syntas, but you did comment kind of on your own kind of growth and value creation opportunities. So I was wondering if you could elaborate on what those may be and what shareholders of UniFirst can look forward to absent some sort of transaction, and then maybe what timeline to think about. Thank you.
Steven Sintros: Yeah. I think that was the question that was asked a couple of questions ago, and, you know, again, there's a number of different areas we continue to invest in terms of technology, sourcing, supply chain, tied into the technology, procurement, strategic pricing, first aid and safety, and there's a number of areas that we just think there's a lot of opportunity to unlock that we have the ability to do over the next few years. And, again, I'll say what I said a couple of questions ago. Yeah. It is a little bit of a journey that we're on here. And this isn't a next quarter, next year, a hundred percent realized plan, but, you know, clearly, the runway there in these areas we can get through these investments and take advantage of them, which we're confident in doing.
Josh Chan: Great. Thanks for the call, and take care of your time.
Steven Sintros: Thank you.
Operator: Our next question will come from the line of Tim Mulrooney with William Blair.
Tim Mulrooney: Yeah. Shane, Steve, good morning. I thought the core laundry margins held in pretty well in the first quarter, up a little bit from last year, but I think your guide for the segment was expecting it to be down year over year for the full year. Is that the case for your core laundry business? Is the pressure that you're expecting more back-end loaded?
Shane O'Connor: Yeah. I think the expectation for the year is very similar to last year's experience. Oftentimes, when you take a look at the profitability of our quarter, our first quarter is usually the most profitable quarter, and the second quarter, again, is sort of somewhat the unwind of that as profitability in that quarter is, you know, the lowest. What I'll say about the quarter is sometimes our quarterly experience is impacted by some timing. Some of the benefits that we saw in our first quarter, we have been cautious as to whether some of the benefits were related to the timing of the expense realization. And we aren't necessarily carrying those forward to subsequent quarters. So some of that profitability, I guess our expectations haven't changed. Largely, they're in line, and the trend from a profitability perspective will sort of mirror last year.
Steven Sintros: Just one clarification there. I can't remember if you said the outside of the question whether you were looking at sort of operating income or EBITDA. You know, from an EBITDA perspective, that's the guidance at the beginning of the year. We said that the margin was gonna be relatively flat from the year before. Probably do have incremental kind of depreciation and amortization compared to last year. So if you're looking at the operating margin, yes, the full-year guidance might have been somewhat down, but I think the EBITDA margin was in line.
Tim Mulrooney: Yeah. I was talking about OI, but it's good to get the clarification on both. So thank you. And, you know, as my follow-up been asked a couple of times, a couple of different ways. I'm gonna take a crack at it. I know you're not answering questions on Syntas, but look, I respect that. But like Andy, I just I wouldn't be doing my job if I didn't at least ask the question that I think should be asked. I'm gonna go at this from a slightly different angle. I'm curious if there's a way to help investors understand the board's perspective and presumably your perspective as well regarding the decision to reject the large premium by providing maybe a way to do this, guys, is can you provide some longer-term targets on where you expect revenue and earnings to be a few years down the line to help frame what the true value of the company is? That way, I mean, what I'm saying is, like, that way, I think we can all better understand why you consider that offer price that you received to be undervaluing the company. Does that make sense?
Steven Sintros: I certainly understand the question. I mean, I think, you know, it ties into a couple of answers that I've given so far on the call. And, again, without kind of pegging a particular year or exact numbers, I think I said a few minutes ago that, you know, our goal is to drive, you know, our growth to mid-single digits and hopefully beyond and EBITDA margins into the high teens. Right? And I do think we feel that there's a lot of value to be created, you know, with the execution of that. And I think and hopefully, that answers, I think, partially your question. From the board's perspective, I kind of defer back to the comment I made earlier about, you know, what we went through in evaluating the opportunity.
Tim Mulrooney: Yeah. Yeah. The multiple different reasons. And the mid-single digit in high teens, that is helpful. Thank you. If I'm just gonna sneak one more in, you know, I noticed that you called out executive transition costs as a discrete item in that non-GAAP reconciliation table. I'm just not sure I've seen that before, you know, because the executives come and go. And we typically kind of think about that as a normal course of business. Can you help us understand what that discrete cost is?
Steven Sintros: Yeah. That was really around partially around the onboarding of our new COO as well as the departure of one of our senior operating vice presidents.
Tim Mulrooney: Okay. Hey. Thank you very much. Good luck.
Steven Sintros: Thank you.
Operator: That concludes today's question and answer session. I'd like to turn the call back to Steven Sintros for closing remarks.
Steven Sintros: Well, I'd like to thank everyone as always for joining today to review our first quarter results. We look forward to speaking with you again in April when we expect to report our second quarter results. Thank you, and happy New Year.
Operator: This concludes today's conference call. Thank you for participating.